Operator: Good day everyone, and welcome to the PBF Energy First Quarter 2025 Earnings Conference Call and Webcast. At this time, all participants have been placed in a listen-only mode and the floor will be open for questions following management prepared remarks. [Operator Instructions] Please note that this conference is being recorded. It is now my pleasure to turn the floor over to Colin Murray of Investor Relations. Sir, you may begin.
Colin Murray: Thank you, John. Good morning and welcome to today's call. With me today are Matt Lucey, our President and CEO; Mike Bukowski our Senior Vice President and Head of Refining, Karen Davis, our CFO and several other members of our management team. Copies of today’s earnings release and our 10-Q filing, including supplemental information, are available on our website. Before getting started, I'd like to direct your attention to the Safe Harbor statement contained in today's press release. Statements that express the company's or management's expectations or predictions of the future are forward-looking statements intended to be covered by the Safe Harbor provisions under federal securities laws. Consistent with our prior periods, we will discuss our results, excluding special items, which are described in today's press release. Also included in the press release is forward-looking guidance information. For any questions on these items or other follow up questions, please contact Investor Relations. For reconciliations of any non-GAAP measures mentioned on today's call, please refer to the supplemental tables provided in the press release. I'll now turn the call over to Matt Lucey.
Matthew Lucey: Thanks, Colin. Good morning everyone, and thank you for joining the call. To say the first quarter was tumultuous, would be an understatement. Between the uncertain economic environment and our - Martinez event, there's been a lot to digest. I'm happy to report that Phase 1 of our restart plans for Martinez were recently completed. Consistent with our March update, we safely restarted a number of the unaffected units, including the crude unit, hydrocracker and delayed coker. The refinery will be running in this limited configuration in the 85,000 to 105,000 barrels per day range. Getting to this point was no small lift for the Martinez team. Especially given they were simultaneously continuing their initial work, to rebuild the fire damaged areas, conducting the planned FCC turnaround, and preparing and successfully executing the startup. In the current configuration, we'll be supplying limited quantities of finished gasoline, and jet fuel to the California markets. We will also be producing intermediates, which we intend to further process in the finished products at Torrance. Our business interruption waiting period ended on April 3, and we expect that we - from that date forward, we will see the portion of our insurance program respond as well. As mentioned in our press release, our insurance have agreed to pay, a first installment of $250 million, which we expect to receive this quarter. We are appreciative of the willingness of our insurance carriers, to provide an interim payment. This goes directly to the quality of our program, and the relationships that have been established in many cases more than a decade ago. Despite the broader concerns in the market, the fundamentals are improving as we approach driving season. Demand is resilient and showing signs of strength. Gasoline stocks are below the five-year average. Then distillate stocks are at the bottom of the range and cracks are constructive. That said, differentials for our preferred heavy and sour feedstocks are definitively a headwind. These narrow differentials reduce capture rates for complex refiners such as PBF. We are encouraged, however, with the reintroduction of incremental OPEC+ barrels. With the prospect of more to come. As these tight differentials begin to loosen, PBF will be a direct beneficiary. Longer term, we continue to see incremental product demand growth exceeding net refining capacity additions. This is a constructive setup for the global refining environment. We are seeing more rationalizations than expected in 2025 and '26, with new additions declining as we look further out. PBF is focused on controlling the aspects of our business that we can control, to best position ourselves going forward. In this current cycle, PBF's balance sheet provides us with the flexibility of weather challenging markets, and look ahead to the next market cycle. To be successful and enhance value for our investors, we must operate safely, reliably and responsibly, and we must do it as efficiently as possible. As part of our ongoing review of our portfolio of assets, to maximize value for investors, today we announced the sale of our Knoxville and Philadelphia terminal assets for $175 million. This process began last year, and we expect the transaction will close in the second half of this year. I'll now turn the call over to Mike Bukowski for comments on operations, and our cost savings program, which are tracking ahead of plan.
Michael Bukowski: Thank you, Matt. Good morning everyone. Before updating the progress we've made on a Refining Business Improvement program, or RBI for short, I'll provide some additional commentary on first quarter operations. On the West Coast, during a mid-March weather event, a loss of steam occurred at Torrance, which shut down the majority of the refinery. Initial expectations were for five to seven days of downtime. After the initial repairs were completed within seven days, we began a sequence restart of the refining units in late March. Unfortunately, issues occurred during restart attempts, which primarily resulted from the initial rapid shutdown. The restart was completed in mid-April. In addition to the work on the West Coast, we executed turnarounds at the Chalmette and Delaware City refineries. In Chalmette, the turnaround was completed on time and on budget. I would also like to congratulate and thank the Chalmette refinery for successfully, and safely managing operations through a record breaking snowstorm, and freezing temperatures in January. At Delaware City, a turnaround of the hydrocracker was performed according to plan. The work was completed in the first week of April. Shifting topics to RBI. Earlier in 2025, we announced the initiative as part of our ongoing strategic process, to extract incremental value across our business. Since then, we have generated over 500 cost saving ideas, through more than 40 idea generation sessions. Our teams are building out these ideas with actionable, quantifiable and measurable plans. Initially, we are focused on five main areas, including projects and turnarounds, strategic procurement opportunities, the East Coast refining system, the Torrance refinery and the refining organizational structure. Our stated goal is to generate and deliver more than $200 million, of annualized run rate sustainable cost savings by year end 2025. This effort will ultimately touch all our locations, including some centralized functions. That said, in the four months since our initial announcement, we've had teams at Torrance and on the East Coast, and we are looking at various centralized groups, such as capital turnarounds and procurement. We are currently on track, to exceed our stated goal of $200 million of run rate savings, by year end 2025. As a reminder, we will realize the full value of these savings in 2026, and a prorated portion in 2025, as we move through implementation. In terms of next steps, we will continue implementing initiatives and tracking success while progressing the program through our remaining locations, and functions to generate additional actionable ideas that, will translate to real cost savings. Lastly, we've reviewed our 2025 capital program, and have elected to eliminate a number of discretionary and small strategic projects, from the 2025 plan without affecting our maintenance, environmental or safety related programs. Our revised total capital budget for 2025, is now in the $750 million to $775 million range. Capital expenditures to rebuild Martinez, and bring it back to full operations, are separate as these costs will be covered by insurance. We will continue to look at our capital going forward, and make adjustments as needed depending on operations and market conditions. We have a number of positive initiatives going on across our organizations, but our main priority will always be the focus on safe, reliable and responsible operations across the system. With that, I'll now turn the call over to Karen Davis for our financial overview.
Karen Davis: Thanks, Mike. For the first quarter, we reported an adjusted net loss of $3.09 per share, and adjusted EBITDA loss of $258.8 million. Our discussion of first quarter results excludes a $78.1 million special item, related to expenses resulting from the Martinez refinery incident, and an $8.7 million gain from relating to PBF's 50% share of SBR's lower of cost, or market adjustment for the quarter. As Matt said earlier, we received notice that our insurers have agreed to pay an unallocated first installment of insurance proceeds of $250 million, which we should receive in the second quarter. We expect that we will negotiate additional interim payments, most likely on a quarterly basis. However, the timing and amount of any agreed upon future payments, will be dependent on the amount of covered expenditures that we actually incur, plus calculated business interruption losses. We are very early in the recovery and claim process, and we expect that cash recoveries could lag to a certain extent, our expenses incurred and covered losses. Our Q1, P&L reflects incremental OpEx at Martinez of $78.1 million related to fire response, recovery and cleanup efforts, which are reflected as a Q1 special item. We anticipate recovering a portion of this amount through insurance, but the specific amount of the recovery, will be determined as we progress further into the claims process. We also wrote down the net book value of the fire damaged assets by $56 million, and recorded a corresponding insurance receivable for the same amount, plus an additional response cost. Generally speaking, any insurance proceeds that we receive in future periods, including the $250 million upfront payment expected this quarter that, is in excess of the $61 million insurance receivable, will be reflected as up other operating income on our income statement. It is our intent, to present insurance proceeds that we report in other operating income, as a special item going forward. Shifting back to our normal quarterly results discussion, also included in our results is a $17 million loss related to PBF's equity investment in St. Bernard Renewables. SBR produced an average of 10,000 barrels per day of renewable diesel in the first quarter. Second quarter RD production is expected to be 12,000 to 14,000 barrels per day, as a result of planned catalyst change that, began in March and ended in April. Cash flow used in operations for the quarter was $661.4 million, which includes a working capital headwind of approximately $330 million, primarily related to the January 2025 tax receivable agreement, payment of $131 million, and a temporary increase in hydrocarbon inventory levels, related to the Martinez and Torrance downtime. We expect inventory levels, to be reduced by approximately 2 million barrels by the end of the second quarter, as compared to March 31. Cash invested in consolidated CapEx for the first quarter was $218.3 million, which includes refining, corporate and logistics. This amount also includes approximately $28 million of CapEx related to the Martinez incident. Additionally, our Board of Directors approved a regular quarterly dividend of $0.275 per share. We ended the quarter with approximately $469 million in cash and approximately $1.77 billion of net debt. Maintaining our firm financial footing, and a resilient balance sheet remain priorities. In the first quarter, we accessed the capital markets through our $800 million upsized senior notes offering. This issuance bolsters our balance sheet, and ensures that we have sufficient liquidity, as we navigate the turbulent commodities markets, and rebuild from the Martinez incident. At quarter end, our net debt to cap was 29%, and our current liquidity is approximately $2.4 billion. Based on a cash balance of $469 million and $2 billion of available borrowing capacity under our ABL. Our liquidity position is ample and our plans to reduce inventory, receipt of the first Martinez insurance payment, and receipt of the proceeds from the pending sale of the terminal should bolster this further. As we look ahead, we expect to use periods of strength to focus on delevering and preserving the balance sheet. Operator, we've completed our opening remarks, and we'd be pleased to take questions.
Operator: Thank you. [Operator Instructions] Thank you. We now have our first question. It comes from the line of Roger Read from Wells Fargo. Your line is now open. Please go ahead.
Roger Read: Thank you. Good morning, everybody.
Matthew Lucey: Good morning, Roger.
Roger Read: Morning, Matt. Let's I guess let's hit Martinez, right? You've been in there enough now to get a feel for what the damage was, what the repair process ought to be. I think the expectation at the time, or at least the initial expectation on the last time we talked about this, was beginning of Q4, or in Q4, you could get, back up and running. So I'm just curious, as you look at the unit, the repair process permitting, California, all that stuff, how is it, how's it looking on that front?
Matthew Lucey: No change at this point. Long lead items have been ordered. And so, once you get into the execution of some of the rebuild, when that equipment arrives, the schedule will tighten, or stress will be put on the schedule. But at this point, we - there's no change.
Roger Read: Okay. And then in terms of moving the product, like you said, the intermediates down from Martinez to Torrance, has that actually occurred yet? Like you're comfortable with the way the will be integrated for the interim period?
Matthew Lucey: It's happening today. Torrance is fully up and running and fully operational.
Roger Read: Great, thanks. And then, Karen, since you gave this guidance, I'm just sort of curious volume guidance on renewable diesel. But how should we think about this whole confusing status, with RINs and other sort of, BTC to PTC change, and other parts of how that's operating?
Matthew Lucey: I know you said Karen and she hit a hot button with me, Roger that I can't. I don't care who you caught on. [You said the word rent it like said something off within me]. The current market is, this has been stable or unstable to say the least. I mean, the D4 RIN price has surged 75% since the beginning of the year. Why is that? I guess there's three primary reasons. And this is the D4 RIN, right. So you've got the PTC questions. There's no clarity. Fine. There's now tariffs imposed on some of the feedstocks. So that increases costs and, reduces supply. And then you have the elimination for credits for imported fuels. So you have much less RD supply. So the D4 RIN has to go up. The problem is the D6 is tied to the D4. They're linked. And so, all indications suggest that we're going to be on the potential of another RIN seen event. And it's sort of interesting, certainly with the current administration, because you have this massive contradiction with the current administration, where maybe the two strongest pillars of their whole platform is commitment to low energy prices, and intent - to incentivize domestic manufacturing. This situation doesn't get rectified on the D6 RINs then, the American consumer could face unintended consequences with higher gasoline prices, higher energy prices. And then we can get back to the D6 RIN threatening refining capacity, which we've been through before. And what's great about it is it can just so easily be rectified. All you have to do, and you can do it in any number of ways, an infinite number of ways, is right-size ethanol mandate that reflects reality. As opposed to setting it above the blend law, which simply decouples the D6 with D4, which is the original intent. The D4 should be incenting new manufacturing of renewable diesel, because you need those government support, to get the product in the marketplace. But the amount of ethanol in the fuel pool is unchanging, is not driven by rent prices. So the D6 being connected to the D4, accomplishes two things. It raises the price of gasoline and it potentially threatens refineries. So I will be doing everything in my power to get that message out. Indeed, going down to Washington, and making sure that they understand the contradictions that exist. I'm not sure that that's exact. That diatribe is what you're looking for, but I wanted to get it off my chest anyway.
Roger Read: Well, maybe if we could hone in just a little bit on SBR there though, like understand catalyst change outs and stuff like that. But if we were to look at SBR in isolation, I mean, how do you think it's performing in this? We're still waiting for, as you mentioned, clarity on some of the new rules. How are you with that?
Matthew Lucey: Just I think that in isolation, the net-net is actually the landscape has improved for SBR, because blenders tax credit, which was a dollar, the PTC is sort of nebulous guidance, is now will receive a little less than half of that. But the D4 RIN has risen more than that fall off in the blender's tax credit. So the outlook for SBR specifically, especially coming out of the catalyst chain. Which, by the way, we are expecting improvements from the catalyst itself, as UOP has been making investments in improving the catalyst. So the outlook for SBR unto itself, is certainly improved going forward with the higher RIN price. But then that, that just creates D6 problems that need to get addressed.
Roger Read: Great, thank you. I'll turn it back.
Operator: Thank you. And the next question comes from Manav Gupta from UBS. Your line is now open. Please go ahead.
Manav Gupta: Good morning, guys. I wanted to get your view on the crude quality discounts, looks like OPEC is raising volumes. We've also seen rebound in refining cracks. But the reason refining estimates are not moving up, or probably even slightly moving down, is because these crude quality discounts are very low. And so in your opinion, as OPEC brings back these barrels, what do you expect to happen for the heavy light spreads on the Gulf Coast, or all coast right now?
Matthew Lucey: Tom O'Connor?
Thomas O'Connor: Yes, thanks, Manav. I mean, I think it certainly has taken us as sort of a positive note from the words we've seen from OPEC, over the last couple weeks for sort of the official reactions for the increases for May. And then, we should be receiving more news next week, as the JMCC moves through. Clearly there's a lot of, commentary and information that's in the market that is talking about an increased taper. But next week also we should receive OSPs, and all those other nice things that come along there. And broadly speaking, as you mentioned, yes, we've been in a very narrow range, but it's certainly our expectation with the changes that are, coming to the market with OPEC policy that, we should see differentials start to widen out. From my, yes, from 100,000 foot view, I mean, Tom covers it sort of down to the barrel, but on a real high level view, I think what's in the marketplace now and admittedly some speculation, the moves of OPEC over the next couple months could overwhelm a lot of the headwinds that we've had, whether it's on Venezuela or other tariffs and sanctions that have disrupted our business and Mexican production coming off of it. But the taper move from OPEC+ is a big, big factor in your question. And I don't know if there's a more levered beneficiary to the PBF.
Manav Gupta: Perfect, sir. So I'm going to repeat this question which I had asked you, I think three or four quarter calls again, which was basically that it looks like the state of California is trying to push out refineries. And I think, Matt, your response was whether they are trying to do this or not, we are needed. If you keep pushing us out, it will create a lot more volatility for product prices and consumers will suffer. I'm just trying to understand the way things have gone in the last three or four quarters, it's becoming increasingly clear from your peers that this is a relentless push to get rid of refineries in the state of California. And I just wanted your comments on it. Are you also feeling the same way that or do you think something might change here and they might realize they're doing the wrong thing here?
Matthew Lucey: Well, I appreciate the question and I'd say Manav, to call the situation California dynamic would be a huge understatement. And maybe, just maybe it's a case of nothing focuses mind like a pending hanging or the looming energy crisis. But I actually think there's been recognition in the state certainly in the last couple months how critical our products are for the well-being of the people in the state and indeed not only how important they are, but indeed the recognition that they're going to be in demand for many decades to come. And if you go and look at the state's numbers pro forma for the announced closures. By next year, we see the market short 250,000 barrels a day of gasoline or over 250,000 barrels a day of gasoline, which will force the market to attract higher cost imports. So, we believed in, as I said three or four quarters ago whenever it was, that our system of two refineries between Torrance and Martinez has been and is today going forward one of the best systems out there in California. And, but whatever I said three or four quarters ago, our system is even more critical to the state today. And certainly for the situation not to deteriorate any further, there must be recognition by the stakeholders. There has to be a level playing field for the participants in the market. So I will tell you, I have been more than pleased and encouraged by the recent conversations we've had. Words like we need to work collaboratively, which is somewhat unthinkable not too long ago. But the refinery's, look, at the end of the day, they need to execute a business plan that makes sense, otherwise this trend of closures will continue. We believe, I think I said this probably some time ago. The value and best use for our assets are in refining. But that absolutely requires a business environment that allows us to succeed. And I've gotten some indications that that is well understood within the state. So there's -- because the other reality is the alternative values in California are compelling. It's not like many other situations. The underlying value of these assets is fairly extraordinary. So that creates a high bar of what must be made in refining. So I've been encouraged by the state. I've had -- we have a team embedded there, people focused on it for 100% of what they do. And indeed I've had a number of conversations with them. And so, at the moment I believe our refineries are well-positioned to not only deliver the low cost products that the state is desperately going to need going forward, but just to provide strong returns and results for our shareholders.
Manav Gupta: Thank you so much.
Operator: Thank you. And the next question comes from the line of Doug Leggate from Wolfe Research. Your line is now open. Please go ahead, Doug, your line is now open. You may go ahead and ask your question.
John Avedon: Hi, good morning, this is John Avedon for Doug Leggate. Our first question is on your net debt trajectory. Could you walk us through on how that plays out and whether or not you may think you may need additional financing?
Karen Davis: Sure. Thanks John. Thanks for the question. As we've said in the past, our capital allocation policy is to prioritize the balance sheet in supporting operations CapEx and maintaining our dividend. And our approach to the balance sheet has been to use up cycles like we saw in 2022 and '23 to reduce debt and to build a balance sheet, preserve our balance sheet so that we can be resilient through down cycles like we've experienced in the past three quarters, few quarters. So going forward, as the market continues to improve as we believe the macro suggests it will, and as cash generate generation correspondingly improves, and when we receive proceeds from the terminal sale, we expect that our focus will again pivot to delevering and prioritizing the balance sheet. As you know, we did access the capital market, raised $800 million in an unsecured offering that bolstered our liquidity to a level where we are comfortable and at this point in time we don't anticipate accessing capital markets.
John Avedon: Appreciate it. And then for our follow-up question, it's on the capital reduction. How much of that could be permanent or is it all transitory?
Matthew Lucey: Well, when you say it's permanent in regards to lowering our capital program going forward, our capital program and our turnaround spend is part of our RBI program. And so we're expecting to see, again, within the confines of the scale that we provided in regards to RBI, we expect to receive real benefits on reducing capital, bending the cost curve permanently. In regards to the specific cuts that were made here, they were discretionary projects. If you want to comment, Mike.
Michael Bukowski: Yes, I mean we went through a portfolio optimization process and we did defer some spending. Some of them were cuts. As Matt mentioned, as part of the RBI program, we have developed longer term initiatives to lower the capital spend going forward. I think it's probably premature at this point to say to what extent that's going to be relative to these cuts. But there are an expectation that going forward we will have sustainable reductions in how we spend capital and spending them more to spend it more efficiently.
John Avedon: Appreciate it. Thank you for taking our questions.
Operator: Thank you. The next question comes from Paul Cheng from Scotiabank. Your line is now open. Please go ahead.
Paul Cheng: Thank you. Good morning. Matt and Karen, with the uncertainty in the economy because of the tariff war and everything, in the event, if the economy take a more sour note and correspondingly demand and margin will not improve the kind of way that we all think it may. At what point that the dividend will become a question on the table for the company. And I mean, what is the criteria or that you think that this is a sacred then you will do everything else that and not touching the dividend. That's the first question. The second question is that, in the second quarter how should we look at the refining operating cost, particularly in California. And also that once we finish the business improvement plan by the end of the year, you get to that $200 million runway, what's the refining of X that one way we should reasonably can expect? Thank you.
Matthew Lucey: On the first one, tough to answer in a hypothetical situation. Obviously we're watching the economy very, very closely and we always hope for the best and prepare for the worst. Over the last 15 years we've seen downturns in the economy that have come in different forms and fashion that were sort of unfathomable. So, to sort of hypothetically talk about a recessionary period is hard to do in a vacuum. That being said, we set our dividend sort of as a through cycle dividend, if there is a major turn down the marketplace, we're going to manage our business as conservatively and as appropriately as we possibly can in regards to how we run refineries, how we invest the capital and how we manage the balance sheet. But we're comfortable with where we are. And like I said, the original design of the dividend was certainly through cycles. Mike, you want to.
Michael Bukowski: Yes, relative to the RBI program. So Our baseline is 2023 OpEx, is what we use to set up how we're deviate or how we're using the differentiations on our owner OpEx Savings. And I would look at the $200 million and consider about one-fourth of its going to come from capital and turnarounds as well. So that's to give you some information on how you want to look at OpEx going forward. That being said, the program doesn't stop in 2025. We will continue driving additional reduction and OpEx going forward. I mean, our expectations are as high as $350 million of run rate savings by the end of 2026.
Matthew Lucey: Yes, because importantly, Mike's comments and everyone should understand them, the team has essentially circled over $200 million of run rate savings to date. They haven't been achieved yet. They're going to be achieved over the course of this year, but they've categorized them and they've been circled in terms of we're going to execute on those and we haven't been to all our plans yet. So the number of savings will go up as we complete the program.
Paul Cheng: Mike, do you have a number you can share in terms of California OpEx in the second quarter?
Michael Bukowski: We're not ready to share that number yet. It'd be very, very difficult to dissect, Paul, because again, its one region we don't report on the individual assets. And with the turnaround and the insurance, it becomes somewhat difficult to forensically dissect for you.
Paul Cheng: Okay, we do. Thank you.
Operator: Thank you. The next question comes from Matthew Blair from TPH. Your line is now open. Please go ahead.
Matthew Blair: Thank you and good morning. On the RBI program, you mentioned that you're on track to exceed the $200 million goal here, which seems quite encouraging. Do you have any examples you could share of areas where you're seeing more opportunity than you originally expected?
Matthew Lucey: Actually, quite frankly, when we did the due diligence initially from the category basis, we're actually right where we wanted to be from each category. Nothing's really standing out as jumping out as a big surprise. We thought energy would be a big opportunity and it is. We thought that our turnaround performance would be an opportunity and we're seeing significant opportunity there as well. And then lastly, we have not in the past really leveraged our spend across the organization. And so the strategic procurement opportunities are a big focus for us as well. But it's roughly kind of evenly divided among those areas so far.
Matthew Blair: Sounds good. And then, could I just clarify two points from your Q1 reporting? I guess first, do you have an EBITDA estimate associated with the logistics asset sale? And then second, could you also provide your share of the [RD] EBITDA in the first quarter? Thank you.
Matthew Lucey: I'll take the first part and you turn the second part. So in regards to the asset sales, these were two terminals that PBF Logistics, when we had an MLP acquired, going back, eight or nine years ago, when we first bought the Planes assets, the Philadelphia terminal that we agreed to sell yesterday was one of three terminals in that package of assets. And then subsequently, PBF Logistics, MLP acquired the Knoxville terminal. From a strategic standpoint, they made real sense for a publicly traded MLP. And there were some ancillary benefits to our connection to our refining business. But we were able to accomplish the benefits through contracts and maintaining access to the terminals. So from a strategic standpoint, the terminals were definitively 9:4, and they're going to a third party that has a different cost of capital and can value them in a more attractive way. And indeed, we're selling these two terminals for more than 10 times our EBITDA.
Karen Davis: And then with respect to SBR, SBR's standalone EBITDA was a $17 million loss, so our half of that would be half of that. And then also circling back to a question that Roger Read asked, we did, like so many of our peers, we did record 45Z revenue based on the provisional guidance that's out there. But as Matt mentioned, whereas we were receiving about a dollar on VTC, it's less than half that under the PTC program.
Matthew Blair: Great. Thanks for all the information.
Operator: Thank you. And the next question comes from the line of Neil Mehta from Goldman Sachs. Your line is now open. Please go ahead.
Neil Mehta: Yes, thanks, Matt, Karen and team. I guess the first question is just on working capital. It looked like it was a headwind this quarter. Typically in a lower commodity price environment, you could see that headwind continue. So, just your, your perspective on the Q2 setup for working capital, and then is that a reversal, the 300 from this quarter, oil price constant. Would that reverse over the course of the year?
Karen Davis: I mentioned that the headwind from inventory was around $200 million. As we reduce those two -- and our plans are to reduce 2 million barrels. But as you rightly point out, that's in a lower price environment. So we might not get the full benefit of that reduction. It could in fact even be a headwind. But at this point, based on our projections, it looks like there will be some a modest benefit.
Neil Mehta: And then, Karen, maybe the follow up is just on the credit side. We have gotten a significant amount of incoming about liquidity. I think through the asset sales and some of the adjustments that you guys have talked about. We've seen, these are steps to help allay some of the concerns that the credit market might have. But maybe you can address that directly because the bonds have sold off here. And why you have so much confidence in the liquidity picture?
Karen Davis: Well, as we mentioned, working capital should be fairly stable going forward. We don't really see any unusual items impacting that area. It's really going to just be hydrocarbon prices.
Neil Mehta: Karen, I meant just broadly speaking about the credit picture.
Karen Davis: Well, as I said in my prepared remarks, we believe that our current liquidity levels are sufficient and that includes having the ability to pay our dividends. And we're really focused on everything that we can control. We're normalizing our inventory levels. We've reduced our CapEx program by $100 million. We expect to begin seeing the benefits of the RBI initiatives. Those should start feathering in over -- actually even starting in the second quarter. We've talked about the $250 million upfront insurance payment and importantly, we have a dedicated team working on the Martinez insurance claim, includes engineers, forensic accountants, insurance experts, so that we can very timely present the information to our carriers so that they can make timely decisions on future payments.
Neil Mehta: Okay, that's great. Thanks so much.
Operator: Thank you. The next question comes from Ryan Todd from Piper Sandler. Please go ahead.
Ryan Todd: Great, thanks. Maybe following up on your last comments there, Karen, on insurance proceeds, congrats on the $250 million first installation payment that you're set to receive. I guess it's safe to say. Is it safe to assume this is largely associated with the capital cost for repair? And maybe any, I know it's really hard, because it's very uncertain. But any color on how you think about potential size or cadence of additional proceeds as we look out over the remainder of the year?
Karen Davis: Well, I think it's important to note that the $250 million payment is actually seen by the insurance companies as an upfront payment of $280 less the $30 million deductible. So that is now behind us. It's also important to note that it's unallocated. So at this point we can't tell you how much is for the property piece of it, how much of it is for BI. And future payments are going to be based on us demonstrating actual expenditures on the rebuild and whatnot in excess of that amount, plus whatever the BI calculation is. And BI, we should note it covers fixed expenses and lost profit opportunity. And in terms of the cadence, as I mentioned, we have a dedicated team and we expect -- we have weekly meetings with the insurance companies and we are very expectant that we'll be able to or we will be seeking quarterly payments.
Matthew Lucey: It's important to note that they're not two different policies. And so, as Karen said, we're going to be working closely with them. And now here we are the very end of April, and this is really the first month where the BI coverage is present. So, in a short period of time, we'll be sitting down with them and reviewing April and setting up a program for the successive months, April, May, June, July, going forward. And then at the same time you're doing the rebuild and expending dollars and that's being tracked. And dollars are going to blend together at some point. So there's not going to be sort of explicit. This dollar is for that one. There's going to be one claim to our group of underwriters. We're working very, very closely with them. And I will tell you that from a working capital standpoint, it goes to Neil's point earlier. It's just very good news that we've got this collaborative arrangement with them where they're putting the dollars. In some cases, some of the dollars are in front of spend that is in front of us. So pleased with the relationships we have, not only with our underwriters, but our broker as well. The whole team has been working well together.
Ryan Todd: Great, thank you. And maybe one follow-up on the West Coast. I know, obviously, you've got your hands full right now with the Martinez refinery. But as we think about balances in general, right? I mean, I think expectations are that the market is very tight this year. You have two more refinery closures coming late this year and early next year scheduled to close there in California. And again, the outlook looks increasingly tight. Can you maybe talk about how you view the outlook for product balances and whether you've seen anything in the behavior of imports over the last 12 months that would change how you think about what that might mean for margins and pricing going forward?
Matthew Lucey: Well, look, this is Adam Smith, 101. The balance is what he said is tight. I mean, the market is definitively short and is going to be definitively short in a major way, in a way that the state has never been before. And so on a gasoline side, you're going to be increasing the short, by upwards of 185,000 barrels a day on a pro forma basis. So every day the State of California is going to have to attract over 250,000 barrels a day of gasoline. That is a big number. And the resupply is coming from far away. So you can have a lot of boats on the water, not insignificantly jet as well. You're talking about on a pro forma basis, upwards of needing to attract 70,000 barrels a day, of jet on a daily basis, short every day. It's going to create a volatile market, because imports don't run like a Swiss clock, and there's delays. The market needs to be able to attract the barrels, which is going to require a premium from where it's gone historically. And then, there will be ebbs and flows and how it - imports into the market. From our perspective, Torrance and Martinez are very, very well positioned in regards to being able to be a low cost producer, for the state deliver these products every day. I must just also comment. It's a product story for sure, but just as big, maybe, maybe rivaling bigger is the story on the crude side, because you have - you're taking two refineries off that were consuming California grades crude, which historically have been the most attractive barrels for the state. We've gotten some indications from the state that they're actually encouraging production, which we've been encouraging as well for them to do. But just, with the refinery in the North and the refinery in the South you have a fair amount of crude that's going to be opened up to the rest of the market, to the refineries that are there. Because California has no alternative on its crude production. It needs to be consumed in the state. So we think the dynamic between on the crude side and the product realities, are going to create a pretty interesting market.
Ryan Todd: Perfect. Thanks Matt.
Operator: Thank you. The next question comes from Conor Fitzpatrick from Bank of America. Your line is now open. Please go ahead.
Conor Fitzpatrick: Good morning. Thanks for taking my question. This is a heavy repair and maintenance year for your West Coast footprint. But I was wondering if those activities could also improve those assets reliability going forward, once they're completed. Can we expect Martinez and Torrance uptime to change over the next few years, relative to the prior several years?
Matthew Lucey: So for Martinez, yes, we're going through a major turnaround there on the FCC block, and a big piece of that is work that's being done on the regenerator, the FCC. So we certainly look at every turnaround as an opportunity to improve the reliability of the facility. On the Torrance side, we have a hydrocracker turnaround in the second half of the year, and it's not as big as the FCC and Martinez. But it certainly does provide an opportunity, to improve the reliability. On top of that we have several reliability initiatives that, are occurring across the entire system. And as we stated last year in a call sometime over the summertime, that was one of our major goals, is to drive continuous improvement, mindset and operational excellence across the system.
Conor Fitzpatrick: Great. That's clear. And you mentioned earlier and news reports agree, the State of California is at least after these recent closures, becoming more open to working with refiners to maintain fuel supply, which California regulations are in your opinion, the most onerous financially that would be most impactful to be modified. Assuming that these conversations involve those regulations?
Matthew Lucey: I think they go across the spectrum, and you look at it, some of the costs with AB32, they have to be looked at in regards to, is it creating an unlevel playing field for the refiners in the state, as compared to the amount of fuel that's imported into the state. You can sort of quickly wrap your mind around, they've gotten themselves into a situation where regulatorily they're squeezing their - in state participants and to some degree ignoring the importers. That will have to change. There has to be a level playing field. And in regards to continually raising the bar, the amount of capital that is on specific projects, I think they have to take a closer look again at making sure that, they're not making the in state refiners uncompetitive. And as I said, there's been collaborative conversations, but proof will be in the pudding. I've been pleased with the dialogue. I think we've got a team that has done extraordinary work, in sort of building bridges and building relationships and like I said, working collaboratively. But at the end of the day, we need a business plan that makes sense, and we need to be successful. And our success will create success, for the people there and lowering energy prices. So there is to some degree, it's across the spectrum. So we'll see as we go.
Conor Fitzpatrick: Thanks. That's all I have.
Operator: Thank you. And the final question comes from Jason Gabelman from TD Cowen. Your line is now open. Please go ahead.
Jason Gabelman: Yes, hi. Morning. Thanks for taking my questions. I had a few cleanup questions on the Martinez outage, I was hoping you could help with. Do you have an estimate of the total cost of repairs? And then can you also just. It's unclear, if the business insurance proceeds, are being negotiated and paid out monthly, or if that happens once the outage is over. If you could just confirm that. And then it seems like the startup timing was pushed out slightly, from by 4Q to during 4Q. So if you just discuss what the critical path is, to fully restarting Martinez? Thanks.
Matthew Lucey: All right. So on the last point, my intention was not to do a sleight of hand. And I'm not trying to parse words. We're circling the end of September as a time, to bring the plan up and that hasn't changed, to the degree it does or it needs to. We'll certainly communicate that in a prompt fashion. But there's no indication at this point that that's changed. In regards to the total rebuild cost. We're not going to get into that at the moment primarily, because the numbers are somewhat fluid, but to a great degree it's moot for our shareholders, because as Karen alluded to before, the $30 million of deductible and retention has been paid. And so, the cost going forward, will be covered by our property program with the coverage that we have. So, obviously those numbers are being worked and being worked hard. But we're not in a position to share them at the moment. In regards to a specific monthly payment, there is no hard, fast schedule. It is a collaborative effort with our underwriters. We've got the appropriate programs in place, and we'll be working closely with them sort of, as we expend money or as the BI claims pile up to lay them out for them, and then they'll be working with us appropriately.
Jason Gabelman: Okay. Great. And then my, my follow-up is just on non-core divestments and you announced the sale of those terminals, and I'm wondering within the logistics EBITDA bucket, how much you would consider kind of non-core to the refining business?
Matthew Lucey: I don't have that number for you. These were sort of obvious. We thought they, like I said before, they would have, would just carry more value for others than they would for us. As an example, when we bought the Plains terminal, there was three terminals when we bought it, and one is connected to our Paulsboro refinery. We maintained that refinery, that terminal, because again, it's more intertwined. Not to say it could be sold, but the non-core nature was different than the assets that were included in the package. So, it's something that we're are continually looking at, and to the degree that we feel like we can create value. And we have an opportunity where you can sell something for 10 times, and obviously you see where we're trading, or we historically trade, that should create value for our shareholders.
Jason Gabelman: Great. Thanks for the answers.
Operator: Thank you. We have reached the end of the question-and-answer session. I will now turn the call over to Matt Lucey, for closing remarks. Please go ahead, sir.
Matthew Lucey: Well, thank you. Thank you to everyone participating. And we look forward to speaking to you again in July, for the second quarter review. Have a great day.
Operator: Thank you. This concludes our conference call for today. Thank you all for participating. You may now disconnect.